Martin Adams: Good morning. Hi, everybody. Thank you for joining us this morning for our half year FY '26 results presentation. We have a short presentation from our CEO and Founder, Kristo, followed by a presentation by our CFO, Emmanuel Thomassin. And then we will move on to Q&A. We'll start in the room, and then we'll jump over to Zoom. Thank you. [Presentation]
Kristo Kaarmann: I'm being here today with us again. So about 70% of people discover Wise because their friends and family tell them about Wise. We've been really proud about this. And I've just lost the notes on the back screen, which will come up in a second. But actually making ads is quite fun in Wise because what we get to do is basically tell the stories that our customers tell their friends, their family, tell the stories again and amplify them with the ads. So what you just saw now is a set of ads we're running in the U.S. on TV, and they kind of follow the same narrative. This is what our customers are telling their friends. Our update today will show how Wise is yet again serving larger and larger groups of people and businesses, moving more and more cross-border volume and how we're fixing larger and larger use cases for them. So let's get started. We added 2 million active customers over the year, coming to 13 million people and businesses now using Wise and cross-currency transactions in the last 6 months. So that is either moving or spending money across currencies. Our work on infrastructure and product, the service experience has led to stronger recommendations. And then assisted by advertising, it has led to more new customers, but also stronger affinity to Wise, which then means more recommendations, but also staying for longer. And these customers are transacting more with cross-border volumes up 24% to almost GBP 85 billion for this half year. This is quite incredible. This time last year, we took our -- we took pretty decisive action to reduce our average fees down by almost 15%. And so we shouldn't really be surprised that we saw customers react to that. They didn't only increase their persistence of recommending Wise to others, but they also voted with their wallet. So bringing us more transactions and larger use cases. And the volume growth that we've been seeing is especially pronounced in this segment of larger transactions and larger use cases. And you've heard us talk about customers shifting from transactions just using Wise transactionally to using the Wise Account for their international banking features. And my team can be really proud of actually 2 things here. First, clearly, the features we've been adding, they're really resonating. So people and businesses are getting more out of the Wise Accounts. They're using it more. But the other dynamic here is how fast the customer confidence is growing. So our customers are now trusting us with over GBP 25 billion of their cash today, holding this as a deposit or as an investment through the Wise Account. And over this last year, I feel like we pulled off a pretty incredible feat. We've taken down our price point by about 15%, effectively expanding our economic moat quite incredibly. And at the same time, we boosted the growth of volumes and customer holdings. So as the result, recording 13% growth in underlying income. So this is really the result of the efficiencies we get from the infrastructure that we're building, but also the product that we're serving. In the last 6 months, we've been pretty busy shipping more. So as we described on Owners Day, you should expect progress come in 2 main categories. One is the infrastructure side where we go deep in the direct integrations and also in the regulatory infrastructure. And then secondly, you'll see developments for international banking, as our customers keep getting more and more out of their Wise Account. And a good example maybe here is Brazil because in the last 6 months, on the infrastructure side, we went direct really deep with Pix -- brought Pix live to our customers and our bank partners. And then separately on the Wise Account, we added interest to both local currency and U.S. dollar holdings. And then in addition, on Wise Platform, actually, we brought live this integration with Itaú that we were talking about earlier. So we're seeing these investments pay off for our customers and platform clients and quite measurably. So when we look at the payment feeds, the things people really care about how fast the money is going to get on the other side, 74% are now instant. And I need to remind you again what instant means. Instant means money leaving your bank in one country and arriving at the recipients bank on the other side of the world, ready to use in less than 20 seconds and that's now 74% of the payments. And after this large investment in our price mode, we've kept the average rate -- average take rate stable at 52 basis points. Another highlight coming from our fastest-growing segment, Wise Platform, where we see the cross-border volumes now getting to 5% of our volumes. And we're on track to get this to about 10% in the medium term. You've heard us recently talk about the really impressive brand names and big banks that we've signed on Wise platform, but I'm actually really excited seeing the volumes growing on integrations that we brought live years ago. So this is where -- this is the growth that we're enjoying today. And before I hand over to Emmanuel, I just wanted to remind you of the huge opportunity we have ahead of us. Because we're building Wise to move trillions, there is a huge, fast-growing market, the network we've created with our products that customers love. These have been built to make money work across borders, the same as it works at home. So Emmanuel, please take us through.
Emmanuel Thomassin: Thank you, Kristo. Good morning, everyone, and thank you for joining us today. I'm pleased to share our financial performance for the first half year 2026 and how our disciplined investments continue to drive sustainable and profitable growth. We're making progress across every single key metric. Our active customers have grown by 21% each year over the last 2 years to now over 13 million active customers for the first half year. The cross-border volume has grown at a similar pace to GBP 85 billion, and the customer holdings have exceeded GBP 25 billion. This is growing by 34% each year. Underlying income growth has grown by 16% to annually GBP 750 million, and we are delivering underlying profit before tax and at the top of the range. Our range is about 13% to 16%, our target margin. So what I want to focus on today is how we achieve this and through focus, targeted investments that build our competitive moat, but also drive long-term growth. Let's start with our customers because clearly, they are at the heart of everything we do at Wise. In the first half of the year, over 13 million customers complete an international transactions with Wise, experiencing the ease, the transparency, but also the affordability that they find us. Personal customers grew by 18% year-on-year to 12.8 million, and the business customers grew to -- by 17% to 613,000, and we're particularly pleased to see the acceleration in this business segment. This is the strongest sequel growth in net addition that we have had. The cross-border volume increased by 24% year-on-year to GBP 85 billion. This is a growth of 26% even in constant currency. This was mainly given by customer growth, but also in addition to that, our existing customers moving higher volumes, a sign of growing trust and deeper engagement. But also, we saw the strong growth in business volumes. And as Kristo mentioned before, the scaling of the Wise Platform, which is now 5% of the cross-border volume means 1% more than in the previous year. And in the first 6 months, we have the pleasure to have major partners like UniCredit or Raiffeisen Bank, and we are seeing also strong growth from our existing partners. So you surely notice that the volume grew at a faster pace than our cross-border revenue, and this is on purpose. Our cross-border take rate decreased by 10 basis points year-on-year to 52 basis points, the [ sharpest ] adjustments in the company history, while our cross-border revenue increased by 5% compared to last year. So we are investing in pricing because we believe that the lowest cost, the lowest price and the best infrastructure provider will win over the long term. The Wise Account is key to our strategy in increasing customer retention and broadening the product usage. The card usage has grown significantly with card spent exceeding GBP 15 billion in the first half year of 2026, generating GBP 132 million in revenue. This is an increase of 28% year-on-year. The popularity of the Wise Account also means that customers are holding more money with us, nearly GBP 20 billion in Wise Account and another GBP 5.6 billion in Assets, So that total customer holdings over GBP 25 billion at the end of the period. And this balance obviously generates significant interest income in H1, even if slowing down pictures of the year-on-year due to the lower yields in the market. So we're successfully shifting the mix of our revenue base, which make our business more resilient, but also represent multiple engine for growth. The non-cross-border revenue now represent 41% of our total underlying income. And we also have a diversified regional footprint, as we continue to invest into growing across multiple markets. So you've seen this investment framework before, but it's worth reinforcing it, as we explain our financial strategy. And this framework ensures a sustainable approach to investment and earnings growth over the long term. So once we achieve efficiencies, we consider investing back into the business. And we also can invest in price reductions, which drive customer and volume growth. This lead to increased profitability, and then we can reinvest. So this is -- let me go through how we deliver on this. Starting with our servicing function. As we build the right structure to onboard and provide a better service to a growing customer base, our investments in servicing increased by 20% year-on-year to GBP 134 million. And we are pleased with the benefit that we are seeing from AI and automation and customer servicing with big improvement here and a lot more is planned as we ramp up AI technology. But we are also investing into our teams, including compliance, which is critical to the success of our business. Our historic investments in servicing are paying off. And as you can see some key examples here on the screen. In particular, we have been able to expand our Net Promoter Score to 69. The high levels of service we provide and our investments into price continue to help us to building a loyal customer base. And this is clearly highlighted by the 70% of customers that joined Wise through the word of mouth. But we are also going beyond that, that as we continue to increase our investments into marketing and sales, as we shared at our Owners Day in April this year. We are investing more strategically across diversified channel, increasing our brand marketing spend and build awareness and drive more organic growth. In H1, our marketing and sales investments increased by 59% year-over-year to GBP 57 million. We invest as much as possible within our targets, and this is evident with our payback period remaining strong at 6 months. So this is -- in H1, we run brand campaign in regions like Australia, Canada and the U.S. And you saw some examples from Australia at our Owners Day in April. And today, we also played an ad of the U.S. earlier today, but that's not all what we are doing. Here, you can see some examples on how we brought the Wise brand to our Canadian customers daily commute. So through these investments, we have continued to drive a constant increase of new customer acquisitions. Importantly, we had 3.5 million new active customers in H1 2026. And this is a result of our strategic investments to attract and retain our customers, including investments into pricing. So next, on tech and development, we invest GBP 144 million in H1, and this is up by 18% year-on-year across multiple teams. This is a significant portion of the spend, goes to maintaining our existing and available products. And for the rest, we continue to invest in launching new features, but also reading out -- rolling out the existing features into new markets. And Kristo shared earlier example of many launches and improvements that the team is working on. So finally, we're also investing in corporate function and infrastructure. And these teams are -- might not be customer-facing, but they are essential for sustainable growth. The spend here increased by 35% to GBP 131 million, supporting areas like compliance, risk, people operations. And this is also including one-off investments related to our dual-listing project. We expect this investment pace to continue in H2 with the administrative expense of around GBP 1 billion for the full year. And this includes investments in our people across the area that I just covered. In H1, we welcome over 1,000 additional colleagues at Wise, and we plan to keep on hiring in H2. And these investments together, with the top line growth, delivered in the period that clearly highlight how we are delivering on our strategy, and as you can see clearly in our margin progression over the past 2 years. The increased profitability we generated in H1 2025 have been reinvested, taking us back to our underlying profit before tax margin target range of 13% to 16%. And this is exactly the model that we promise here, and it's working. So as you know, we only use the first 1% yield we receive of interest income within our underlying profit before tax because we are committed to building a business that is sustainable without relying on cyclical forms of income such as interest. Including additional interest income beyond the first 1%, we reported a profit before tax for the period of GBP 255 million. So now I'd like to cover our expectation for the rest of the year, and we are reiterating our previous guidance. So for the full year 2026, we continue to expect underlying income growth to be within our midterm range of 15% to 20% on a constant currency basis. And based on the phasing of our investments, we continue to expect underlying PBT of around 16% for 2026, excluding the one-off listing expense of circa GBP 25 million -- GBP 35 million. On our capital allocation framework, as we continue to make prudent decisions to deliver on our long-term mission, our business strategy aims to deliver strong profitable growth so that we can generate strong cash in the future. This means that we can sustain strong level of cash, maintaining a strong capital to ensure resilience and flexibility. And on the return of capital, I wanted to share an update on the share repurchase program we announced earlier this year. From -- of the incremental 25 million shares into our Employee Benefit Trust to find historic options, we have already repurchased half of it. So we are executing our strategy with discipline and seeing strong results across every single metric that matters. We're growing our customer base. We're deepening our engagement, diversifying our revenue and investing for the future, all this while maintaining our target profitability range. And the fundamental of our business had never been so strong, and we're just getting started. So now I'll leave you with another ad as we set it up for questions. Thank you so much. [Presentation]
Martin Adams: Great. Okay. So we're just going to take any questions that you have. So what we'll do is we'll start in the room, and then we'll jump over to Zoom [Operator Instructions].
Unknown Analyst: [indiscernible] Goldman. Firstly, platforms demonstrated a strong inflection in the half, now 5% of volumes growing around 3x than the total volume. Can you talk to us about some of the momentum and ramp you're seeing within this segment and talk us through that midterm guide of 10% of volumes in terms of the growth you need to get there? And secondly, one for Kristo, please. Stablecoins are certainly gaining traction within the payment ecosystem. Can you talk to us about where you see Wise positioned with respect to stablecoins? And what are some of the opportunities and potential challenges, given you built one of the lowest cross-border payment infrastructures?
Emmanuel Thomassin: Well, I'll start with platform. Well, thank you very much. Yes, you're right. I mean we have a very good momentum. I mean every time we meet, we are pleased to announce our new names, new partners joining the platform. That was also driving inbound calls so that we're really, really pleased with that. You see basically new names coming and we are integrating them. But also, as I mentioned in the presentation, you see also the ramp-up of names that we mentioned before, where we see the volume increasing over time. So today, we are at 5% -- a little bit more than 5%. So this is 1% more than our last meeting that we had in April. And yes, we're on track for delivering the 10% midterm and the 50% long term. So yes, we have a good momentum here. And we see interest from new partners or potential new partners.
Kristo Kaarmann: On the stablecoin question, so indeed, you're right, we've built the world's fastest, the most efficient, the lowest cost way of moving money between countries and currencies. And we've been -- when we talk about this, we often talk about the direct integrations and how we link together the local payment networks. But in fact, Wise Network also comes with this regulatory infrastructure that allows us to do this in each of the jurisdictions around the world. So if we ask about stablecoins in that context of money transfers that goes just beyond moving U.S. dollars between wallets, then it's these regulated on and off ramps into those local currencies, how do you get the money into the USD stablecoin and out of that USD stablecoin. And that's actually the hardest thing to achieve reliably, which is exactly what we built Wise Network -- or this Wise infrastructure for. So if we want to think about Wise in that context, then as these legitimate use cases of USD clearing outside of the Federal Reserve and outside of the main banks emerge, and we're starting to see reliable anti-fraud, anti-bribery, anti-tax evasion, anti-money laundering mechanics come live on the stablecoin environments. Then of course, we have the best on and off-ramps to make use of this new technology across the world. And furthermore, if these challenges improve, I'm actually personally quite excited if we can add something like this to move U.S. dollars next to Fedwire and Zelle and Venmo and other options that are out there today for our own customers.
Adam Wood: It's Adam from Morgan Stanley. So I've got 2 questions for you. Just first of all, on the pricing, obviously, a big reduction over the last 12 months. The policy in the past has always been to cut pricing as you engineer cost out of the platform. Could you just give us any change to that, first of all? And then any visibility insight you could give to how you're thinking about that over the next 12 months? And then secondly, on the investment side of things, obviously, a big investment gone in already and more in the second half. Do you see any change in the payback metrics that you're getting? Would you be more comfortable with maybe moving those payback periods out a little bit? And then critically, in some of the new markets you're in, there's a big flywheel effect with Wise in terms of getting people on and getting volumes up to bring the cost down, and we know how that works. Are you seeing that this advertising is accelerating that flywheel in some of these newer markets you're going into? And again, would that push you to do a little bit more to accelerate how you get to more of those instant transactions and so on?
Kristo Kaarmann: Let me try to respond more principally, we're keeping our investments. We aim to keep our investments really balanced and steady. So we saw -- as we're describing, we did a pretty decisive move about a year ago and now been kind of stable. Going forward, we try to avoid big swings, but definitely, the strategy hasn't changed because we amazingly see this working. We see more volume even coming up in the short term, let alone this economic mode that we're building. So this is definitely going to continue, but we're going to try and avoid big swings. So that will be kind of a steady expectation. And then the other question that you had around do we see the marketing working? For sure. And I think we're one of -- potentially our marketing team is one of the world's most disciplined when it comes to payback. And I don't -- I think the magic still is if you can reach more people with the same investment return because at the end of the day, we're investing our shareholders' money and that has to have a return.
Unknown Analyst: Kristo, first of all, looking at that photograph, I wanted to ask you which shampoo you use. But the real 2 questions really are, one is in terms of margins going ahead, are we kind of -- sorry, let me ask the margin question second. The first question really being, you obviously currently Wise transfers kind of charges per transfer. And are you thinking of something like an Amazon Prime model where somebody pays in, let's say, GBP 10 or whatever in whichever currency and then they kind of -- monthly, they can have so many transfers. Are you thinking about that? Have you already tried that in any particular market? So that was my first question. And my second question was about basically margins. Obviously, it's a huge, huge market out there. And are you also thinking of kind of saying -- willing to kind of take lower, lower takes and lower margins because obviously, the volumes that we are talking about are like 100 or 1,000x potential.
Kristo Kaarmann: I'll take the first one. Emmanuel will take the second.
Emmanuel Thomassin: Yes. So I won't talk about shampoo. But on the margin, look, I mean, we guide the market to 13% to 16%, and we are really serious about this. I mean, like we want to grow because there's a massive opportunity out there, as you know. So we -- Kristo mentioned just now how we reinvest in pricing, but this is one of the options that we have. This year, we are investing in marketing. We're investing in servicing. We're investing in product and development. We're investing in people so basically to offer the best service we can. And we anticipate, obviously, the growth. We have the strongest ad customers in this -- in history of Wise and basically for customers and businesses. So we know this is working. And while we still guide the market at the 13% to 16%. So this is a massive investment that we're doing. We're delivering not only on the fields that I mentioned, but also all the features the direct integration. So we're really, really busy. And we still deliver like on this margin at the top of the range right now. So I think in terms of margin, we are really disciplined. I mean the money, we don't spend, we invest. We want to have a return, and that's help us this discipline to guide the market to the 13% to 16%. As long as we get room to invest and we get a good return and the time is so fantastic, I think it will be set enough to do this, but you can expect us to be disciplined.
Kristo Kaarmann: And your other question on the different charging models or bulking together. Of course, we play to a reasonable extent with all of those, and you might see some evolution there. But I think principally, we really value this loyalty that comes with our strings attached. And this is quite amazing if your customers don't come back to you because they bought a subscription, but they come back to you because they want to come back to you. And that's kind of something that however we end up pricing, I don't want to lose a trade away.
Operator: This is Aditya from Bank of America.
Aditya Buddhavarapu: Three questions from my side. Firstly, on the platform volumes, could you just talk about how much of the growth came from the, as you said, customers who have been live for a long time versus the ones who have been onboarded over the last year or so? Second, on the hiring, so you've hired 1,000 people just in the first half versus the initial expectations of, I think, hiring 700 people for the full year. So there's been an acceleration. So could you talk about why you decided to step up the pace of that? Which areas you've been hiring in? And then how should we think about that for H2 and for next year as well? And then the last one on GBP 35 million one-off, should we think about that -- as you think about the next year, does that one-off, I guess, get reinvested back into other areas? Or we should think about that, again, flowing back into the profitability?
Kristo Kaarmann: I'll take the easy one, if you don't mind. Your question on investment and how did we -- how are we able to invest so much in this first 6 months. So I'm actually really, really, really pleased with that. It seems like it's a fantastic time to invest. If you look at all of those categories that Emmanuel went through, starting with servicing, so the payback that we get from like an instant service and the confidence that customers then bring like GBP 25 billion of their money to hold with you, that's amazing, and there's still room to invest there. Let alone the rate of the growth that we're now seeing, we need to be ready. There's going to be a lot more customers to serve going forward. So with that, then we talked about marketing already that has a very direct, very clear payback, has a very, very good ROI to use money. And then on engineering, we're actually -- if you look at the numbers, we're actually investing not as fast as our volumes are growing. So we're investing even lower. I wish we could go faster there. So -- and that will take a bit of ramp-up. So I'm actually pretty proud that we wanted to invest. We talked to you about this at the Owners Day that this is a fantastic time to invest now and feel like we made kind of more progress in the first 6 months than we hoped for, but...
Emmanuel Thomassin: Yes. On the -- because your first question was on platform. Actually, what we see is that we have a ramp-up of new customers, like basically volume coming from new customers, but also partners that have been there before that are extending the contract with us. So we are in a very comfortable position where basically, as we told you, usually, we start with one route and then over time, they extend the contracts. This is what we see. So clearly, there's new customers that we signed last year. So -- and then on top of that, the former one that are extending the contract. So this is really a mix of both, which is very, very healthy. So that's -- and that's driving this 1% increase or a little bit more than 1% increase. Yes, on the hiring, just like as Kristo said, I mean, like Wise is a brand that people are attracting. And then basically, we are in a position where we can scale and anticipating the growth rate that we see on the customers. So that's very good. I think on the last question was the reinvesting capacities or -- yes, I mean this is clearly a one-off due to the dual listing. That's why when we guide right now on the margin, we clearly exclude basically the one-off. So we don't -- we're going to have a small part of recurring cost, but this one is a one-off in nature. You should not forget the left side.
Pavan Daswani: Pavan from Citi here. I've also got a couple of questions. Firstly, on instant payments, good to see the step-up to 74% from 63% last year. What's really driving that? Is that mainly from the go-live with Pix in Brazil? And should we expect that to step up again when you go live in Japan? And then secondly, on the elasticity of pricing, you've reduced pricing by 15% over the last year. Has that really translated into the volume uptake that you've seen so far? Or is that really a multiyear payoff?
Kristo Kaarmann: I'll take the first one. So you're directionally correct that these instant payment rates are basically a reflection to the large part of how good is our local connectivity, how fast we can get Australian dollars to the end recipient. Given the timings, I would probably attribute this more to our Australian integration that went live about a year ago or about 6 months ago, it kind of ramped up. So it's probably more of that than Pix. We'll see some from Pix as well going forward. So I'm definitely looking forward to this number going up further.
Emmanuel Thomassin: And on the price elasticity, so it's clearly for us like a long-term strategy. We know that price matters to every single customer. So that's the first maybe statement. Like we know long term, price will matters, and it will position us at the #1 option. Last year, as we do the price adjustments, we also increased some price. I mean, like it was not only going down, and it was by design. So basically, what we've seen is that the larger transfer is becoming cheaper and more attractive for our customers. And that we saw immediate reaction. So we saw that basically people are reacting to our offering, as we decrease the take rate for the larger transactions. So there is an immediate reaction, but we think that price is anyway a long-term game, and that's why we want to push on efficiency so that we can pass this back to the customers.
Unknown Analyst: I'm really interested in the decline in take rate that you're reporting. And can you just help me understand and unpick that a bit and the difference between changing mix in the business and like-for-like price cuts on your kind of rate card? And what's the balance between those drivers of a decline in the reported take rate?
Kristo Kaarmann: I can take that. This is very much driven by us setting the fees and setting the fees lower than we did before. It does bring about a secondary effect of a bit of a mix shift. So for example -- kind of coming up with an example, if in a country, we used to be -- we discovered one payment method, say, people paying in with cards, is particularly more expensive and we raised the fees on cards, lower it on bank transactions, then what you do see is the shift from people who used to use cards before because they were kind of subsidized, moving into bank transfers, bringing down the take rate. But for them, this is actually a benefit. So you get these little secondary mix shifts, but generally, it is -- like we set the prices.
Eleanor Hall: Eleanor Hall, Rothschild & Co Redburn. I just wanted to follow up a little bit more on the stablecoin question from earlier. And I know earlier on in the quarter, there was some news around you potentially exploring hiring in the digital asset space. I know you've been speaking to customers in terms of is this something they'd be interested in. And I'm just wondering if you could comment on the outcome of those discussions or any kind of further updates on things that you're looking at internally to do with stablecoins?
Kristo Kaarmann: As I already covered, the investments that we're making are quite general in terms of we're building the network that will be useful in the context of stablecoins or without the context of stablecoin. So we're not making a bet on one payment scheme over another or one transaction method over another, but there's a lot of -- we're going to be very deliberate on what kind of use cases are we going to accept and how -- where is it actually going to be useful. So going forward, I think you should expect us to be very deliberate about that.
Unknown Analyst: Vineet from Autonomous Research. Just 2 questions. What other countries do you see -- do you need to do direct integrations that will complete your overall infrastructure build? And any thoughts on rumors about Wise exploring a banking license?
Emmanuel Thomassin: Well, on direct integration, we're not done yet, right? I mean like there are so many payment systems that we think we should integrate in order to be even increasing the instant payment. I mean, like we've done a tremendous job. I mean like if you remember, we were at 64%, if I remember last year, we're now at 74%. We want to integrate more systems. I mean we want to make sure that we come to the highest number as possible in terms of instant payment. So there are plenty of payment systems, and you can imagine that our team is working actively on that to add more in the future in terms of, well, having the license and then the technical integration. So we -- it's not over yet. I mean, like we have 8 today. We will continue to integrate more payment systems.
Kristo Kaarmann: And then on the comment of rumors. So just the fact is the OCC in the U.S. has reported that we're in the process of a license application for a trust license, which is a form of banking charter. It's not quite a banking charter, but it's a trust charter. So that is indeed true. In the U.K., there haven't been any announcements. And generally, of course, we have licensing procedures or processes ongoing in probably 20 countries in parallel for different things that we could do for our customers.
Unknown Analyst: Simon Young. Could you just help us understand what the correlation between your direct payments and -- sorry, instant payments and the ones that are direct and therefore, also the impact on the gross margin? Because if I understand it, the gross margin is very high on stuff that goes through the direct payments. And if it goes higher, obviously, gross margin should go up and yet gross margins in the first half were flat. Can you just help me understand what's going on, please?
Kristo Kaarmann: I'll try a little bit. Just to build your intuition about this a little bit, I think if you look at mechanically on the cost base, you maybe see less of an impact going direct or having a very good indirect clearing mechanism. However, the COGS benefit or the cost benefit does come through quite a lot in the reliability that you get being direct and also the customer experience that you get. So it's not as direct as what I think you had in mind. But indirectly, indeed, we should see benefits operationally, benefits from customers and customer affinity and so on. So it's definitely very worthwhile investments, but I'm not sure you can translate this as directly into the gross margin increase.
Unknown Analyst: Culture is a massive issue for any company. How do you embed successfully 1,000 people in a half and keep the culture that Wise has obviously developed so successfully in the last 12 years?
Emmanuel Thomassin: I'm glad you asked this question because I'm here for a year, but I can tell you, basically, the onboarding is very successful. I mean, like you really quickly understand the culture of Wise. It's a developing culture and you get the support of your colleagues. I mean -- so I think Wise is a brand that is really highly seen by candidates. But the way we integrate people is really like supporting -- the team are supporting and managing to onboard newcomers like me very, very quickly. Last year, I have the pleasure to be here after 4 weeks. It was because basically my colleagues also in this room who were helping me a lot to onboard. So I think this is the culture that we have. We have one mission. We repeat this mission. We want to move [indiscernible] and everyone is working every day on that path.
Kristo Kaarmann: I would amplify that the job of onboarding the 1,000 people is of the 6,000 that are already here. So it's not that hard if you take it this way, 6:1.
Martin Adams: So moving over to Zoom, Justin Forsythe from UBS.
Justin Forsythe: I want to hit a couple of questions on my side. So first, Kristo, the foray into stablecoins. Maybe you could just talk a little bit, it felt like 6 months ago, it was a bit of an afterthought for you guys. Clearly, quite an evolution there. Maybe you could just talk through a little bit your evolutions personally in coming to an understanding with this aspect of the market. And it does seem like there's a lot of players in this on- and off-ramp business within stablecoins. How do you expect to differentiate there? Is it simply because of your connection to local faster payment schemes? And is it fair to assume that a lot of those providers, those competitors, if you will, do not have the same level of licensure and local scheme connectivity that Wise has? Question number two, Emmanuel around the PBT margin. So I think 1H was ex-listing costs around 17.5%-ish. Now you effectively reiterated the full year guide, but ex-listing costs, so to me, that implies 2H margin down quite a bit sequentially, I think, around 14.5%. Then if you include listing costs, I think you're down at like 11.5%. So I just want to understand, one, if that's the correct math and maybe a little bit more detail on what's driving it. And what that also implies for the cost base going forward in the beginning parts of the next fiscal year. And on top of that, thinking about underlying income growth because it seems to imply that there's quite a large acceleration. Could you be doing 20% plus in 2H, as the take rate comparison eases?
Kristo Kaarmann: Thanks, Justin. You were slightly tricky to hear in the room for the audio. It's probably an issue on our side. But let me try and respond to the first part, which was imagining the stablecoin ecosystem improving, then how are we competitive in these on and off ramps. And I think you're spot on there that the qualities that make these on and off-ramps so amazing in the fiat world of going from Australian dollar to U.S. dollar to euro, that's exactly the same cost speed, regulatory reliability, the same things that will matter in the stablecoin world. So this is -- you're spot on that this does work exactly the same way.
Emmanuel Thomassin: I mean, like I start with the margin evolution. So the margin that -- the guidance that we give for the full year, excluding our one-off expense for the listing, and we want to be at the top of the range, we reiterated this, at the 16%, around 16%. What we will see basically in H2 is that we're driving the investments in first half year, and we will also continue to invest in H2. And this is basically our promises that we give in Owners Day. I mean we're going to invest where we can where we get a good return and still guide the market to the 13% to 16%. And that is without [indiscernible] or the dual listing cost? Bear in mind that this is a one-off by nature. I mean, for next year, we will have some recurring costs, but nothing compared to the GBP 35 million that we're expecting for this year. And when it comes to income -- underlying income growth, I hope I understood your question rightly. So yes, you have a kind of disconnect between the volume growth that you see, the cross-border volume and underlying income -- or the revenue that you generate out of this volume -- cross-border volume. But this is basically a like-for-like issue. So we're comparing basically 2 period of time where we had the price adjustments last year, in the first half year, that is coming to play. And then the comparison like-for-like is very difficult. You will see this -- we will see the real growth -- I would say, the real growth in brackets in the second half year when this pricing adjustment is not affecting anymore the comparison for year-on-year comparison. So I hope I answered your questions. If not, please just let me know.
Martin Adams: We'll now move over to Bharath. Over to you, Bar.
Bharath Nagaraj: Bharath from Cantor Fitzgerald. Could you highlight some of the logos that you signed previously within the platforms business where you're now seeing volumes ramp up? Is there any kind of like a case study with regards to how long it normally takes to ramp up volumes materially here? And what are the conversations that you're having with these kinds of customers? Is it to do with like lower take rates for these businesses or anything else? That's the first question. The second one, could you speak about your investments -- the marketing investments across the U.S., Australia and Canada, which ones are faring better? Are you seeing any regions with better ROI relatively speaking? And has there been any change in this ROI coming from these investments, given the macro worries?
Kristo Kaarmann: I'll try to take the first one, Bharath, unfortunately, I think if we did a case study, it will be misleading because each of the -- we're onboarding the world's largest financial institutions often and each of them is so different. So it's going to be really hard to average those. The -- we're pretty -- we're very happy actually with our past announcement, past logos that have gone live, and you see that in the results. So it's something where it's very early to start singling anyone out, but we're very happy with the onboarding progress here, and that gives us confidence that we mentioned today where you kind of can see getting to 10% in medium term with the platform volumes.
Emmanuel Thomassin: To your question on marketing and ROI comparing Australia and U.S. So first, maybe I should start that we're using the same discipline and the same KPIs, and we have the same expectation on return no matter, which campaign we started in which country. However, comparing Australia and the U.S. is difficult at this time because Australia campaign is running for 1.5 years, where the U.S. is basically starting, I think, 2 months ago or so. We are very pleased with the return that we see, and that's why we continue to invest in Australia. And we see also that the campaign in the U.S. is quite successful. We invest also in 3 other countries, New Zealand, Canada and U.K. So we are monitoring the progress in every single country, but it's really, really difficult because of the difficult -- it's challenging, let's put it this way, to compare Australia where we have this campaign running out for 1.5 years, and we continue to invest because we see the result. Result is, the CPA is going down. So the cost per acquisition are going down as longer we take the campaign. So that's -- we're monitoring. We're also adjusting to be quite frank, we do some time adjustment in tricks. We say this creative that you see today, we have to adapt this for this country, and then we start a campaign again. But what I can tell you is that we're looking at this with the same lens. So basically, we want to have the same return no matter what. And if a campaign is not as successful as we expect, either we do the creative again or we change the campaign or we stop the campaign and we come with a better idea.
Martin Adams: Well, thank you very much for joining us today. That concludes our presentation and Q&A for our half year results for FY '26. Thank you very much.
Emmanuel Thomassin: Thank you very much, everyone.
Kristo Kaarmann: Thanks everyone.